Greg McNiff: Welcome everyone to Exodus' Fourth Quarter 2024 Earnings Conference Call. I'm your host, Greg McNiff, and joining us today are Exodus Co-Founder and CEO, JP Richardson; and Exodus CFO, James Gernetzke. During today's call, we may make forward-looking statements. The Company cautions investors that any forward-looking statements involve risks and uncertainties and are not a guarantee of future performance. Actual results may vary materially from those expressed or implied in the forward-looking statements due to a variety of factors. These factors are described under forward-looking statements in our earnings press release, and our most recent registration statement on Form 10-K filed with the Securities and Exchange Commission available on the Investor Relations portion of our website. We do not undertake any obligation to update forward-looking statements. Please visit our social media accounts, X or Reddit, to submit your questions for the quarter for our investor relations team after our call. And with that, let's go to JP for the review of Exodus' preliminary fourth quarter and full year 2024 results.
JP Richardson: Hi, everyone. Thank you for joining us today. Our unaudited Q4 results represent yet another strong quarter for Exodus, as we continue executing on our strategy to bridge traditional finance and block chain technology. We delivered record revenue while introducing innovations designed to make digital asset ownership frictionless and accessible to everyone. In Q4, we grew revenue 143% year-over-year to $44.8 million. We continue to scale our business by expanding on the partnerships we announced last quarter. We currently have 11 partners signed with XO Swap, with five of those already in the integration process. Exodus finished the full year with $116.3 million of revenue, and those are record revenues on the quarter and the year. Accordingly, we accomplished several milestones in the quarter building on last quarter's momentum and aligning with our growth initiatives. Let's run through those milestones. First, we continue to invest in marketing and education. As many of you are aware, Exodus was a cohost of the first crypto ball in DC. Expect to see similar marketing initiatives in the coming months, as we shoulder increasing responsibility to foster awareness and adoption of Bitcoin, DeFi, and Web3, especially to the policymakers in DC. Meanwhile, self-custody remains the core of our business, as Exodus continues to empower users with the secure multi-chain wallet for Bitcoin, Ethereum, Solana, and beyond. Our exchange aggregator technology extends our natural, multi-chain capabilities by connecting consumers with the most competitive rates and transaction speeds, while our newest launch, XO Pay, also simplifies fiat onboarding to improve the whole user experience. Now the most exciting development this quarter was the very strong performance of our newly announced B2B2C swap aggregator, XO Swap. This XO Swap product leverages the Exchange Aggregator technology with its decade of refinement and reliability and serves to other industry players, including Ledger and Magic Eden. As a reminder, our exchange aggregator enables consumers to retain control over their crypto transactions, while providing transparency and security. This aggregation is intended to enable consumers of other wallets to receive the best available rates and fulfillment times. XO Swap is truly a best in breed solution for any wallet or Web3 dApp looking for multichain swap capabilities honed, as I mentioned, in our own wallet over the past decade. And with XO Swap contributing 12% of our Q4 revenue, we are enthusiastic about its long-term potential. We are closely tracking its momentum in 2025. Furthermore, the Passkeys Wallet launch marks a major step in simplifying crypto access with frictionless onboarding. Passkeys Wallet is a self-custodial, multi-chain wallet that can be embedded directly into dApps web platforms. Some call this technology smart wallets. We prefer the phrase instant wallets. With Passkeys Wallet, consumers can create and access a crypto wallet without any friction. No need for downloads, no accounts, no e-mail verification, no storing of a 12-word secret recovery phrase. Instead, the self-custodial wallet is seamlessly managed using base ID, touch ID, a PIN, or even password. This solution improves the user experience and offers developers a powerful tool to integrate crypto functionality into their platforms. Early adoption has been strong, and we are excited about its growth potential in the quarters ahead. Passkeys ended 2024 with over 200,000 users, thanks to a marketing program we ran on Exodus. Shifting gears, acquisitions remain on the table as Exodus continues to build its pipeline of targets. There is significant inbound interest from companies looking to join us on our journey, but we will not be sharing any names at this time. There's a longer-term vision, we will share in the future earnings release that we believe partnerships and acquisitions will help to accelerate. And in December, we celebrated with an uplisting to the NYSE American Exchange, where we are enjoying the increased liquidity, better opportunities to access capital, and improved visibility with investors. Beyond Exodus, our broader crypto ecosystem gained momentum throughout Q4, increasing mainstream adoption and institutional participation. The Trump election preceded major changes in the acceptance of our industry. Bitcoin ETF inflows were substantial with $16 billion on the quarter, while Bitcoin reached $100,000 for the first time. And to put the cherry on this Sunday for Exodus, yesterday, president Trump announced a crypto strategic reserve by which the presidential working group on digital assets would move towards creating U.S. investments in Bitcoin and other digital assets. As we say in crypto, LFG. And so, Q4 was very strong as Exodus grew while innovating to make digital assets more accessible. Our NYSE American uplisting, our major product rollouts like XO Swap and Passkeys Wallet, and our focus on superior customer experience, we believe all of these factors have Exodus solidly on track for a prosperous 2025. I just want to thank you all to our customers, partners, investors, and team members for joining us at every milestone. We are at the very early stage of this journey to make Exodus the leading Web3 technology platform, and I couldn't be more exciting about our opportunities ahead. We look forward to reaching many more milestones, as we seek to transform our visions into reality. And now, I'll hand it to James for a financial update.
James Gernetzke: Thanks, JP. Q4 was a strong milestone quarter for Exodus and the market. But before jumping into Q4 and 2024 results, I'd just like to remind everybody, we recognize the large majority of our revenue from fees we charge third-party API providers for access to our users. And in particular, revenue generated from our exchange aggregation API providers makes up the core of our business. We do have non-exchange aggregation revenue as well, which comes from API providers with other capabilities such as staking and fiat onboarding. Given our model, business performance has historically been affected by the cryptocurrency market cycles, which can be volatile in the short-term. However, when looking over a longer period of time, we have been able to scale our business across these cycles. So, in the future, we expect to further capture our addressable market through strategies, such as partnerships and products such as XO Swap. In Q4, we generated $44.8 million in revenue, representing 143% growth year-over-year and 123% sequentially. This year-over-year revenue growth was driven by strength in both our exchange aggregation and non-exchange aggregation revenues, and further supported by increased user activity and continued positive momentum in the cryptocurrency market. Exchange aggregation accounted for 92% of total revenue in the full year 2024. And of that exchange revenue, 93% was from our users and 7% was from our XO Swap partnerships, while non-exchange aggregation, including fiat onboarding and staking revenue, represented 8% of the total revenue. One of the key developments in the second half of 2024 was XO Swap, as the partnerships came fully online with meaningful contributions towards the end of the year, and this momentum has continued into the first quarter of 2025. Exchange provider process volumes for the quarter were $2.3 billion, reflecting 169 growth year-over-year and 139% sequentially, which was made possible as cryptocurrency valuations increased on the year along with Exodus' user base. Monthly active users in Q4 reached 2.3 million, which compares to 1.4 million a year ago and 1.6 million in Q3. This growth was driven by multiple factors. We enjoyed increased user engagement, new product launches and ongoing marketing initiatives throughout the year. On our balance sheet, we ended the quarter with $265 million in digital and liquid assets, primarily composed of Bitcoin, Ethereum, U.S. dollars and treasury bills, while we remained debt free. We continue to be early adopters of ASU 2023-08, which as a reminder means our digital assets are now recorded at fair value. You can clearly see our long-term Bitcoin strategy in action on this chart, which highlights our accumulation over time. We held 1,941 Bitcoin as of the end of Q4, compared to 1,800 units in Q3. Looking back, we held 1,787 Bitcoin as of 2023 yearend. Our Bitcoin holdings have grown over time, as we have strategically managed our treasury to align with our long-term vision. Looking ahead, we intend to take a disciplined approach to treasury management, balancing operational needs with opportunities to strengthen our digital asset position. And to bring everybody up to speed on the new year, I'll provide preliminary Q1 highlights that demonstrate that this quarter is off to a strong start. Through the first two months of Q1 2025, we have seen volumes of $1.45 billion, which for comparison is already higher than the volume we saw in each of the whole first three quarters of 2024. Of that, 23% of the volume is related to XO Swap partnerships. We've also grown our digital asset holdings, ending February with over 2,000 Bitcoin units in our corporate treasury. So, to wrap up our discussion, Q4 was another strong quarter for Exodus as we continue to capitalize on the growing digital asset market. We remain committed to maximizing shareholder value, and we thank you all for your support. With that, we'll take some questions.
Operator: Thank you, James. [Operator Instructions] Our first question comes from Ed Engel from Compass. Ed, if you want to unmute your line and ask your question.
Ed Engel: Great. Congrats on the NYSE uplifting last quarter and also on a really strong set of fourth quarter results. So just kind of high level one first. Just the industry experienced one of the biggest hacks ever last month, when a centralized exchange was hacked for over $1 billion. How do you kind of think of these events? And how they kind of impact demand for self-custodial products like Exodus? And then did you see any notable impacts, on user onboarding after this event?
JP Richardson: Thank you. Absolutely. I mean, one of the biggest exchange hacks ever, as you mentioned, $1.5 billion happened through infiltration of the system. Now ultimately, it was due -- it was -- the ETH was stored on a on a smart contract, but it was the hacks were customers' funds. Now fortunately, Bybit was able to, as far as I know, make whole on that kind of a hack, but it does continue to highlight the risk of custodial exchanges. And so, for us, I mean, this continues to reinforce the value proposition of Exodus and that we are self-custody. And so, yes, absolutely, there was there was influx of customers, but nothing that we're willing to report just at this moment. But again, this these hacks are going to continue to happen. Custodial exchanges are going get hacked again and again and again and again. And this points to the origin as to why Exodus was created in the first place. If you go back to 2014 with Mt. Gox, and then if you wanted to store multiple assets and swap multiple assets, you had to use an exchange. But today, that's no longer true, and you can use Exodus to hold all of your assets in one wallet.
Ed Engel: Super helpful. Thanks. And then one housekeeping one, I wasn't quite able to find it, but did Exodus disclose any gross margins in the fourth quarter or G&A expense? And then, if you guys have that, already, were there any one-time costs related to the NYSE uplisting?
JP Richardson: There were costs related to the uplisting. Obviously, as you can imagine in 2024, the Form 10 process generated some significant fees for our friends in the legal industry as well as the accounting industry. And you'll see those, when we file our 10-K here shortly. In terms of -- sorry, what was the other part of that question?
Ed Engel: Did you guys disclose any gross margins or G&A expense overall in the fourth quarter? Are we still waiting for the filing?
JP Richardson: I would just wait for the filing.
Ed Engel: Okay. Thanks. And then, I guess one last one. At the beginning of the quarter, you guys announced, kind of a change to your pricing structure or the pricing mechanism, or I guess the swap experience overall. I'm just kind of curious, what does that mean for, I guess, the product offering? Is it just kind of more options for users? And I guess, does that have a substantial impact on your overall fee rate, moving forward?
James Gernetzke: I'll take the first part, and, JP feel free to jump in, if I miss something here. Overall, I would say that structure does not change, the overall. I believe that is specifically related to some of the Solana fees. However, it just signifies our desire to continue to improve that exchange aggregator. We've been working on that for, as JP mentioned in the opening remarks, 10 years now. And we continue to refine and improve that overall experience as well as work to provide best execution and fee structure for our users going forward. The one thing I would say on that is, in general, that did not necessarily change our margin structure, at all on our base business.
Ed Engel: Perfect. Pretty helpful. And again, thanks for the clarity and then congrats on a great start to the year.
Operator: Our next question comes from Kevin at H.C. Wainwright. Kevin, if you'd like to unmute your line and ask your question. Kevin, are you able to unmute your line?
Kevin Dede: Yes. Can you hear me now? Is that better, JP, James?
JP Richardson: It is.
Kevin Dede: Thanks very much for having me on the call. Apologies for my ineptitude in handling Zoom in these communal venues. Listen, JP. First, let's dive in a little, please, and offering maybe some more color on XO Swap. Understand there are 11 agreements. Five have been integrated. You're seeing a benefit already through the fourth quarter and in through March so far this year. Can you talk about where you see that going versus your legacy aggregation business?
JP Richardson: Absolutely. So, if we look historically at some of the bigger current partnerships that we have, Magic Eden and more specifically Ledger, and you look at consumers that are using some of these products, specifically Ledger, right, so Ledger has, I think, close to 7 million customers, maybe close to 8 million, but 7 million to 8 million customers. And today, these customers, what they're doing is they own a hardware wallet, and then they're plugging it into their machine and they're using it. Now despite the fact that a Ledger works with Exodus and so does a Trezor works with Exodus, many consumers are happy using the ledger software that they have today. And so, what this allows us to do is it allows us to take our technology, the XO Swap technology, the swap aggregator technology and bring it to other business partnerships so that they can offer it to their consumers. And since we see wallets as, again, is kind of sticky for a customer base, it allows us to tap into other consumers without us having to go market to those consumers and actually have to bring them over to Exodus. So, they can still use the platform that they know and love, say, Ledger in this case, and then again use the swap aggregator technology. So, beyond this, we see and believe that many other wallets will adapt XO Swap as well because it is one of the best-in-class for providing swaps across chain for consumers.
Kevin Dede: It's hard to argue with you, JP, given the quarter's results. Congrats on that. So, another stab at it. How do those users, the ones on Ledger and Trezor or Magic Eden, how do they see that XO Swap technology? Is the Exodus Movement brand in any way put to those customers?
JP Richardson: Yes. We like to create in a seamless and integrated experiences. So, in the case of some of these platforms, so like Ledger, the brand is a little more pronounced, but in the case of, let's say, like, Magic Eden, it's less pronounced. So, it's going to vary on a case-by-case basis because all of what we're providing is APIs that route to our third-party, API providers. And so, the actual branding is going to vary on a case-by-case basis.
Kevin Dede: How do you look at the intellectual property that you've baked in? It created by 10 years of hard work, not to be dismissed, but how do you look at that in terms of Exodus having a moat?
JP Richardson: Yes, absolutely. So that's a great question because what we're thinking -- the way that we're thinking about this long term is actually open-sourcing a lot of the client-side front-end code of Exodus with the intention of making a wallet cheaper for developers, Web3 projects to come and build wallets. Because ultimately, at the end of the day, if a consumer or if a developer builds a wallet with our APIs, then they're way more likely to integrate XO Pay or XO Swap. And so, for XO Pay and XO Swap, these products are on the back end. They're on the server. They're not open source. They're not available to developers other than through an API. So, it would be very hard for a competitor or another wallet provider to come along and say, hey, we're going to build our own XO Swap, because again, what we've done over the last 10 years is we've taken all the swap partners out there and we put them in one experience. And behind the scenes, we are monitoring and controlling what the consumer ultimately experiences, and we provide a back-end interface of analytics and control for our partnerships. So, from the aspect of a moat, the real moat is going to be through XO Pay and XO Swap, not the front-end wallet itself. So, I think that's really important to note that long term, we want as many wallets out there as there can be so that we can ultimately have more partnerships for XO Swap and XO Pay.
Kevin Dede: Last question for me, I promise. Let's talk a little bit about MoonPay and Banxa. I know that deal went south. And listen, I've covered Banxa for years and years, and the original figurehead of that company was an awesome guy. The most recent management change hasn't left me feeling very upbeat about where that company was going. I understand that they -- you and they couldn't align, and it makes sense. But I guess I would like to understand how that XO Pay and the MoonPay integrate and how difficult that integration is in delivering XO Pay.
JP Richardson: Great question. So long-term, everything that we think about is through the lens of the consumer experience. So today, as a consumer using Exodus and then going and buying, crypto with, say, a debit card or checking account, one of our biggest partners, MoonPay, and they've been a great partner, as a consumer, you go and you see a completely different experience. It almost feels foreign to you as a consumer. So, our path of building out XO Pay is to provide a more customized and seamless and integrated experience. So as a consumer, you feel like you're just in one Exodus experience. Now at the end of the day, whether it's XO Pay or MoonPay, we ultimately do not care. We just want to provide the best experience for our customers, and you may look for more enhanced partnerships in the future that would help us to do that.
Kevin Dede: The apologies. I lied. The Exodus the user doesn't see the MoonPay and Ramp, on ramp or off ramp activity, and then they have an alternative to use XO Pay?
JP Richardson: You can ask as many questions as you want. These are great questions. So no, so right now...
Kevin Dede: Trust me. I went through an hour of this with James. He never wants to speak to me again.
JP Richardson: No. I love it. Just keep throwing them out. So, if you're a consumer, and what you're presented with today is you are presented with a choice of MoonPay, XO Pay, and other fiat on Ramp providers, other ways to purchase crypto with Bitcoin or -- sorry, purchase crypto with a credit card or a checking account or what other fiat method you wanna use. So, you have that choice today. Long-term, we're looking to create a very strong seamless experience so that as a consumer, you don't have to think about, whether you're using XO Pay, MoonPay, Ramp, or any other provider. You're just integrated in Exodus, and it just feels like one cohesive experience. And this one cohesive experience really ultimately could be powered by a partnership with MoonPay or someone else, but that's ultimately what we're after is a seamless experience. And today, it doesn't quite feel that way. It feels like as a consumer, like, I want to use my debit card to buy Bitcoin. Okay. I have to choose between an XO Pay, a MoonPay, or some of the other providers. Does that help?
Kevin Dede: Yes. It helps a lot. So, I guess it kind of becomes interesting as you look down the pike and integrating all this seamlessly. It's hard for me to see anything seamless in the world of crypto. It's absolutely, probably one of the most awkward environments you can imagine, so I applaud the effort. How do you see that, that XO Pay launching and its growth ramp?
JP Richardson: Here's what's great about XO Pay, is that to those who already are partners with XO Swap and they're getting value from XO Swap, XO Pay becomes a natural complement for us to go in and say, hey, you have this swap aggregation technology from us already. Now we have this other service and platform for you called XO Pay. And so, we think that provides a strong channel for additional partners for XO Pay. But at the end of the day, what we're really trying to do is remove all complexity from crypto because to your point, crypto, it is complicated still, right? Like the fact that you have still 12-word secret phrases, still addresses, the fact that you have different -- you have to worry about, is this an L1, L2? Which network am I on? And do I have enough ETH to pay my gas fees? These are the things that we're looking to remove from the consumer experience long term.
Kevin Dede: Thanks for very much, JP, for indulging me. It's a real pleasure being on the call. I appreciate it. James, thanks for allowing me to join. I know it was a tough decision for you. It's fun to be included. Thank you.
James Gernetzke: Anytime. I love the questions, just like JP.
Greg McNiff: Thank you, Kevin. That ends our q and a session. Thanks to JP, James, and our analysts. Please visit our social channels on X and Reddit to submit your questions for our Investor Relations team. And with that, we're concluding our call. Thank you very much for joining us today, and we hope to see you in the future. Take care.